Operator: Welcome to the Air New Zealand 2023 Interim Results Call. [Operator Instructions] And with that, I will turn the call over to Air New Zealand's General Manager of Corporate Finance, Leila Peters.
Leila Peters: Thank you, and good morning, everyone. Today's call is being recorded and will be accessible for future playback on our Investor Centre website, which you can find at www.airnewzealand.co.nz/investorcentre. Also on the website, you can find our interim results presentation, financial report and media release. Speaking on the call today will be Chief Executive Officer, Greg Foran; and Chief Financial Officer, Richard Thomson. I'd like to take a moment to remind you that our comments today will include certain forward-looking statements regarding our future expectations, which may differ from actual results. We ask you read through the disclaimer and in particular, the forward-looking cautionary statement provided on Slide 2 of the presentation. I will now hand the call over to Greg.
Gregory Foran: Thank you, Leila. [Foreign Language] and good morning, everyone, and thanks for joining us on today's call. Before kicking off, I'd like to take a moment to acknowledge the devastating impact that the Auckland floods and Cyclone Gabrielle has had on so many New Zealanders over recent weeks. I also want to recognize the outstanding efforts of Air New Zealanders across the business who left into action to ensure the safety of our customers and our people. We know disrupts and never convenient, but we have always and will always place safety ahead of [ all else ]. While our primary focus has been on getting services back up and running to reconnect the regions and provide options for our customers, we're also supporting impacted communities wherever we can. Following the Auckland floods, we introduced fair flexibility and donated to relief organizations across the city. After Cyclone Gabrielle, we deployed specialist system flights, carrying communication support, emergency supplies and airport operational staff. Having restored services into both Gisborne and Napier, we have reduced fares for all customers traveling from both these ports to any locations we serve within New Zealand, providing people that need to leave the region, the option to do so. I was in Napier over the weekend, and it was wonderful to see the support provided by our outstanding people across our airport team and pilots and crew that are based and live in this region. This, alongside many other Air New Zealanders from outside the region who have flown into lender hand, enabling us to operate back to a full schedule as quickly as possible. Turning to Slide 4. On behalf of over 10,000 Air New Zealanders, it is very heartening to report our results for the first half of the year. The statutory profit before taxation of $299 million and a net profit after tax of [ $213 million ]. As a result, we are proud of, delivered against a backdrop of very strong passenger demand and continued cargo strength despite a challenging operational environment. It's almost surreal to think that 12 months ago, we were still navigating network-wide pandemic-related travel restrictions. Our domestic network had been substantially reduced following a 4-month lockdown for the Auckland region, and our international passenger network was very limited with only around 10% of pre-COVID capacity up and running. We've started hiring back operational staff planning for the eventual opening of borders despite not knowing what customer demand would look like. And almost exactly a year ago to this day, the country adjust here the government's 5-stage plan for reopening New Zealand to the world, which assumed borders would not open fully until October 2022. Fast forward to today, and I couldn't be more pleased with how the team has rallied together to build back at pace our passenger network and the support operations and infrastructure that go with it. We welcomed over 8 million customers on board our aircraft in the first half of this year, more than double the amount we saw in the prior period. Our cargo business continued to connect New Zealand businesses globally as we did throughout the entire pandemic. We embarked on the largest hiring program in our history, onboarding and training over 3,000 staff to date, a colossal task made even more complex as we navigated a very tight labor market, elevated levels of sickness and COVID outbreaks. We have been busy relaunching routes, including our new direct service to New York and bringing back much needed capacity to meet the strong levels of demand we are reserving across all customer segments and regions. 3 new domestically configured A321neos have joined our domestic fleet and 6 Boeing 777-300 aircraft have now returned to help service our international network. We've also been working to extend lease agreements where appropriate on existing aircraft and making tactical changes to the network to deliver an additional 2.7 million seats or an extra 10,000 seats a day for the coming Northern summer period. But that is not to say it has all been smooth sailing, and we've learned just as other airlines have that restarting is much harder than shutting down. While our recovery is well underway, we know we have more work to do to tackle customer concerns like long wait times at our call centres, on-time arrival and departure of our planes, lost baggage and getting refunds back in a timely manner. I want to thank customers for bearing with us through these and other challenges. We're very aware that flying is not the pain-free experience it should be and getting back into shape is a top priority. What I'm most proud of has been our collective ability to look through these short-term challenges and frustrations to see the bigger picture. We have not sat on our hands and focused just on reopening. Good decisions have been made around our network and fleet by simplifying our operations with what and where we fly. Investments made on infrastructure, both digital and physical with things like flight planning, apps, loyalty and new engineering hangers. We have rolled out customer-facing improvements with food and beverage, commenced a retrofit program for our planes. And then, of course, we're commencing work around decarbonization in earnest. We liken this to being able to walk into [ Gabrielle ]. Just restarting was never going to be enough. Turning to Slide 5 and what we are currently seeing in terms of customer demand across our domestic and international networks. Bookings strength has continued to exceed our expectations, showing resilience in the domestic market and gaining momentum across our international network over the past 6 months. Domestic demand continues to track closely to pre-COVID levels. The mix of that demand is slightly different with corporate bookings approaching pre-COVID levels and leisure demand even stronger than it was before the pandemic. International visitors are back traveling and we've also seen some of that demand contributing to domestic bookings. In addition to booking strength, our forward domestic sales are above pre-COVID levels, reflecting domestic fares that are, on average, about 25% higher and take into account the higher cost base that we are facing into. While we are always closely monitoring customer demand, we have not observed any signs of softening to date with domestic capacity currently at around 100% of 2019 levels. Should we start seeing any significant changes in demand with good flexibility to adjust our schedule accordingly. Turning to international bookings. We are pleased to see bookings improve from July and August levels, increasing to about 75% of pre-COVID levels as we've brought more capacity back over the past 6 months, helped by the return of most of our 777-300s from the desert. All markets have seen good demand with particular strength in the Tasman and North American markets as capacity remains below pre-COVID levels for now. The big change in recent months has been the strength of bookings in the Asia region, helped by the relaxation of travel restrictions in Japan and most recently, China. Also in Asia, we continue to see very good connecting traffic on our Singapore and Hong Kong services. And while it is encouraging to see these continued levels of demand across our network, it has been challenging to scale up at pace. Air New Zealand has not been immune to the operational pressures facing the global aviation ecosystem. [Technical difficulty] across our workforce and that of our suppliers to backlogs with airline manufacturers and beyond, the global supply chain continues to be stretched due to the pace of the rebuild. To date, this has resulted in a constrained supply of aircraft and the support structures that allow them to fly, in turn has contributed to an ongoing supply and demand imbalance. Regardless, we have challenged ourselves to get as much of our fleet operational and flying as possible [Technical difficulty] wet lease to assist with heightened demand and providing more customer surety knowing that more seats help keep pricing down. And we do appreciate that pricing is higher. Everything costs more and airfares are no different. There are more people flying than there are seats available across all the airlines, not just Air New Zealand. In months, we do expect prices to come down a bit as capacity returns, but it's unlikely they'll go back to where they used to be because everything costs more. When I reflect on the last 3 years, every one of our stakeholder groups has been impacted significantly by the effects COVID-19 has had on our business. From our customers not having [Technical difficulty] to our people who've worked through some of the most complex operating conditions in history. Our shareholders who stood with us through a recapitalization to our suppliers who've been under immense pressure as systems ramped up and to our communities who've spent a lot of time being less connected throughout New Zealand. Our objective always is to deliver a balanced scorecard and not favor groups over the longer term. These key stakeholders are fundamental to the ongoing success of our airline and with our return to profitability, and we're proud to be able to deliver for these groups. For our customers, we've been focused on new products and services such as new food and in-flight entertainment offerings and providing more capabilities in our app so our customers can be empowered with their travel journey. That means increasing wages and enhancing benefits to ensure we attract and retain top talent. It means ensuring our balance sheet is robust and has flexibility to invest in our strategy to drive increased cash flows for investors. For our suppliers, we're focused on supporting the supply chain and being reasonable with our suppliers as they too struggled to ramp back up. And it means the ability to get back to communities in which we operate, tackle the challenge of decarbonization and build further on our role in keeping New Zealand connected. A financially sound in New Zealand is good for all New Zealanders. We appreciate our responsibility to set the pace on being a world-class provider of services and innovation, knowing that [Technical difficulty] goes, so too does our country. I'll now hand over to Richard to go through the financial results.
Richard Thomson: Thank you, Greg, and [Foreign Language] to everyone on the call. I would like to echo Greg's earlier comments today regarding Cyclone Gabrielle in the Auckland flooding. It's been an incredibly tough few weeks and our thoughts really are with everyone impacted directly or indirectly by these tragic weather events. Turning to Slide 8 and some of the key financial highlights for the first half. Operating revenue was $3.1 billion, driven by strong levels of demand, both [Technical difficulty] resulted in passenger revenues of $2.5 billion. For some context, operating revenues for the same period last year were only $1.1 billion. As Greg mentioned, we were pleased to announce our first profit since the pandemic began with earnings before taxation for the period of $299 million and net profit after taxation of $213 million. Gearing at 32.7% improved [Technical difficulty] strengthened since we reported our annual results in June. This is due to improved profitability and strong operating cash flows in the period, including revenue received in advance. Looking now at our profitability waterfall chart on Slide 9. As Greg mentioned at the beginning of the call, it really is difficult to compare our current performance to the prior period as the operating environment is completely different in a positive way, too much commentary here. There are some details on particular cost lines to the right in a much more detailed discussion can be found in the published interim financial report. The significant improvement in our passenger revenues is to stand out on the chart, improving by approximately $2 billion from the prior period, driven in almost equal proportion by capacity growth as well as a strong RASK performance as both yields and loads reflected passenger demand for travel since borders reopened. Fuel costs were $754 million for the half year, an increase of $484 million, a 55% increase in the underlying Singapore jet fuel price and to a lesser extent, increases in the price of carbon offsets domestically, along with fewer hedging gains contributed $278 million of the additional cost relative to the prior period. Fuel consumption increased 100% due to greater levels of capacity flowing resulting in an additional $206 million in costs. A few points that might not be explicit on the slide. Cargo revenues are down compared to the first half of last year, reflecting the shift back toward passenger flying as borders reopened. It is still our belief that strong underlying demand for air freight versus shipping will continue in the near term [Technical difficulty] operated in the financial year '23 relative to historical performance, but significantly down compared to last year. It is also worth remembering that the MIAC support scheme with the New Zealand government has been gradually tapering off as passenger capacity rebuilds, and it winds up completely at the end of March this year. Within sales and marketing and other expenses, approximately $6 million of cost relates to the operation of a [Technical difficulty] resilience over November and December. This lease will continue through to the end of October 2023 and will add approximately $30 million in cost for the second half of this financial year and USD 20 million into the first half of FY '24. Moving on to Slide 10. Our liquidity position continues to strengthen, which has contributed to significant improvements in our net debt metrics. Operating cash flows were robust in the period, driven by advanced ticket sales and cash earnings. Investing cash flows of $317 million included outflows for the acquisition of 2 A321neo aircraft delivered to support the domestic network with cost-efficient growth and progress payments on future aircraft deliveries as well as payments for digital properties and infrastructure spend. Looking to the second half, we are forecasting slightly lower CapEx spend due to the skew of aircraft deliveries in the first half. As announced in late November 2022, we repaid the remaining $200 million of redeemable shares for the Crown, and there are now no remaining liabilities owed to the Crown, noting that we do have a $400 million Crown standby facility in place, which remains undrawn. During the period, we also completed some secured aircraft financing and issued an unsecured bond, both of which are called out in detail on the slide. Turning to Slide 11. Reported CASK increased 13.8%, largely driven by fuel price. Underlying CASK, which excludes the impact of fuel price, foreign exchange and third-party maintenance as well as the reduction in wage subsidy support improved by 25.4%. This was primarily a result of improved productivity, bearing in mind the comparative 6-month period was materially impacted by the final domestic lockdown of the COVID pandemic. Partially offsetting this improved productivity was a change in the mix of network activity with a reduction in cargo-only flying in the greater proportion of higher cost passenger flying, which comes as an increased CASK and higher RASK. As we look forward to the second half of this year, we expect CASK to improve sequentially from the first half, reflecting the ramp-up in capacity growth, particularly across long-haul sectors. Turning to Slide 12. As I noted earlier, fuel costs for the first half were $754 million and further information on specific movements [Technical difficulty] details in the supplementary section on Slide 28. Looking at estimated fuel costs for the second half, we have provided an outlook with an assumption of average jet fuel at USD 105 a barrel, reflecting the forward curve over this period. Based on the makeup of our hedges, we've also provided an approximation of how moves upward and downward in fuel price would impact our fuel cost for the second half of the year. At USD 105 per barrel for jet fuel, our fuel cost in the second half would be approximately NZD 765 million, which would bring our full year fuel cost to approximately $1.5 billion, assuming an average price of around USD 115 per barrel for the full year. As a reminder, we usually only hedge Brent Crude and therefore, our fuel cost is exposed to volatility in the crack spread between crude and jet fuel prices, which has fluctuated significantly this year. In the past 6 months, we've utilized call options exclusively to allow immediate participation should fuel prices trend downward, although we may elect to use different instruments as prices change. Based on our [Technical difficulty] approximately 70% hedged for the remainder of the financial year and within that, around 65 percentage to the fourth financial quarter, which is [Technical difficulty] June. Turning now to Slide 13 in our forecast aircraft investment. You can see the expected phasing of the aircraft capital expenditure through to 2028 with no commitment at this stage beyond that. As we've discussed previously, our fleet networks and sustainability teams have been engaging heavily with manufacturers and start-ups on future hybrid and electric aircraft, particularly focused on our domestic network, which will hopefully result in some future commitments to replace the Q300 fleet, but nothing at this stage. We received our third domestic A321neo aircraft last week. These are very welcome additions to the fleet, providing cost-efficient capacity growth with 46 additional seats relative to the A320. [ Shift in ] the previous delivery schedule means that 1 aircraft will move from financial year '23 into financial year '24 and we've reflected the expected phasing in the table in the chart you see on the slide. Looking now at our widebodies. We have an order for 8 Boeing 787 aircraft, and we're still expecting the first 2 new aircraft to be delivered in FY '25 and then 2 each year through to FY '28. It's also worth noting that these aircraft will have the new interior cabin product that we announced last year and will be powered by general electric engines versus Rolls-Royce engines on the current 14 787. The total forecast spend to FY '28 that you see reflected in the bars on the chart is $3 billion based on an NZ to U.S. dollar exchange rate of $0.6350. Turning now to Slide 14. Aside from fleet, we have further capital investments that are not yet committed, but are just as important to support long-term resilience customer innovations as well as operational efficiencies. The mix of this CapEx can change depending on the cadence of different projects. One such area we have discussed previously is the interior retrofit program for our current fleet of 14 787s. We currently estimate that this program will start no earlier than mid-calendar year 2024 and will be staggered over several years. The estimated CapEx associated with that program is approximately NZD450 million. Engine maintenance is lumpy and dependent on the utilization of aircraft within each fleet. Accordingly, we expect engine maintenance spend will increase compared to the COVID-impacted years. For context, we spent around USD 110 million and USD 85 million in 2019 and 2018, respectively. Note that the associated spend on an engine shop visit provides an enduring benefit of around 5 years or so. Investments in digital infrastructure are a core component of our strategy. So we expect that a portion of our CapEx over the medium term will go towards systems that improve operational resilience and generate cost efficiencies, including advances in the way our people interact within the airline and with our customers to remove friction points. We estimate around $50 million to $75 million a year for this. Finally, we expect to have elevated levels of property and infrastructure spend over the next 4 to 5 years as we undertake some significant projects at our [ '60s era ] engineering base in cargo facilities in Auckland as well as the relocation of our head office. We broke ground on our new engineering hangar during the period in review. These are once-in-a-generation projects, so the CapEx associated with them is not expected to repeat once complete. Looking now at Slide 15 in providing a summary of key financial settings. We've already discussed the liquidity and gearing performance, which are positive against our target metrics. In addition, returning the airline to profitability is a key milestone as well as consideration of the broader macroeconomic environment. When we launched the capital raise last year, the Board noted it would consider dividends to shareholders no earlier than financial year '26 based on a number of factors, including the expected trajectory of demand recovery and the airline's financial performance. Air New Zealand's recovery has been much stronger and faster than expected with borders reopening earlier and stronger levels of demand. As such, the Board will consider reinstating distributions to shareholders in August when the airline announces its 2023 annual financial results. With that, I'll pass you back over to Greg, who will discuss the outlook.
Gregory Foran: Thanks, Richard. Moving on to Slide 17 and our plans for capacity for the remainder of the year. We continue to ramp our network up from the first half levels with the expectation that group capacity in the second half will be at around 80% to 85% of 2019 levels. This means that for the full year, we're expecting to be at 75% to 80% of pre-COVID levels, which is consistent with our expectations back in August last year. The mix of that growth by route group is provided on the slide, along with some key points. I will just touch on the mix, which is compared against 2019 levels. The growth will continue to be more skewed to the short-haul markets rather than long-haul, which is in line with our medium-term network strategy to grow the domestic market and optimize our international network. Looking to the remainder of the financial year, we remain optimistic about demand, but acknowledge significant uncertainty regarding the overall economic outlook. We also note that the second half of the financial year is typically weaker than the first half. Against this backdrop and based on the assumption of an average jet fuel price of USD 105 per barrel for the second half of the financial year. 2023 earnings before other significant items and taxation are expected to be in the range of $450 million to $530 million. This guidance includes a preliminary estimate of the impact of the Auckland floods and Cyclone Gabrielle. Finally, I'd like to end my remarks by simply saying thank you to our fantastic team of Air New Zealanders for all your efforts and thank our customers for choosing to fly Air New Zealand. To those on the call, thank you for your time today and listening as we have shared our results. I know you will have questions. So operator, please open up the line.
Operator: [Operator Instructions] Our first question comes from the line of Andy Bowley of Forsyth Barr.
Andy Bowley: I've got a couple of questions to kick things off here. The first one, just picking up on your guidance there, Greg. The $450 million to $530 million implies $150 million to $230 million for the second half. I recognize there's quite a lot of moving parts here, albeit we've taken fuel out of the equation. Can you just give us a sense of where you see the key uncertainty through that second half period in terms of yield loads capacity or anything else?
Gregory Foran: Yes. Look, while we're still feeling reasonably optimistic about what we're seeing coming through in terms of forward bookings, Andy. We recognize that we've got some really high numbers, particularly across the Tasman and some of the international routes less so domestically. So we're just being a bit prudent. And historically, the business has sort of operated stronger in the first half, less in the second half. So we're just being sensible as we forecast out what we see happening in the second half and are comfortable with the range that we've put forward at the moment.
Andy Bowley: And then maybe slightly differently then, if you've got big numbers as you suggested, Greg domestic short-haul. If we then think about domestic short-haul international and long-haul, where are the key uncertainties? Notwithstanding the fact that booking cycles are longer for long-haul. So there should be a reasonable amount of certainty in terms of how you think that will play out over the next 6 months?
Richard Thomson: Yes. Andy, Richard here. Just on long-haul, probably the most uncertainty exists in picking up on a comment Greg made before May and June, typically the most difficult months of the year for us to forecast long-haul revenue. It's typically coincides with the lowest 2 months for long-haul demand particularly inbound into New Zealand. So we're just exercising a bit of caution there, particularly given as Greg says, it's where we've seen really the highest yields and fares over the last year or so.
Andy Bowley: And do you see yields coming off over that 6-month period in terms of what you've got on the books at the moment in terms of forward bookings?
Richard Thomson: There's no evidence of that yet?
Andy Bowley: Okay. That's pleasing to hear. That was kind of 3 pillars to the first question. The second question, being around a comment that you made, Greg, when you were talking about yields expect prices to come down a bit, but not to pre-COVID levels. As everything costs more now than it did previously. Now I recognize there are material mix changes going on in terms of the cost base, lots of moving parts. But can you give us a sense of on a like-for-like basis, what's happened to the cost base versus pre-COVID levels ex-fuel?
Gregory Foran: Sure. We have seen increases in labor. Some of that is exactly what we want to do in terms of taking some action on our lower end of the workforce. So lay this up in a number of areas, sort of circa 14%. We've got other costs coming at us, Andy, catering, for example, up 38%. And it's a really high number, but we need to make sure we support LSG in this case, to get their business back up and running. Things like [ passenger levels up 18% ], air navigation up 16%. So some of these costs, they hit us and some of them are going to be here for a while. The big one that winds itself out is productivity. When you're employing the numbers of staff that we have -- on in the 6-month period, 3,000 since we reopened. There's often times I'll get on a flight, and there will be 14 flight attendants. There's 4 pilots. If I take you down to our trading facility, when you drive these over [Technical difficulty] we just not as productive as what you are when you're up and running when you are employing that amount of people right across the business. So that's actually what we have had forecasted we'll get some improvement in CASK.
Operator: Our next question comes from the line of Nick Mar of Macquarie.
Nick Mar: Just following on from that of the labor cost, would you characterize much of it as sort of one-off around kind of hiring and rehiring people? And sort of where does it start to level out once you do get some of those productivity benefits back given the capacity plans?
Richard Thomson: Yes. I think without picking on labor specifically, what I can say, Nick, Richard here, is that since pre-COVID, so over the last 3.5 years, call it, pure rate-related increases so forgetting about activity-related increases, rate only cumulatively is about [ 15% ] over that 3.5 period, of which labor is actually broadly in line with that.
Nick Mar: Okay. Great. And would you still expect the labor base in terms of headcount [indiscernible] to be lower than pre-COVID once we're out the other side of this and the new kind of capacity [ plant life ]?
Richard Thomson: Yes. So we're currently sitting at or around 10,500. Pre-COVID, we were 12,000 or 12,500, 12,500 including contractors. And we expect to get to 10,900 by the end of the year or thereabouts. The delta at the moment is largely airport workers.
Nick Mar: And at 10,900, what sort of capacity does that enable you to fly?
Richard Thomson: That is well over 100% of domestic, close to 85%, 90% of short-haul international and getting actually very close to 80%, 85% of long haul.
Nick Mar: Okay. Great. And then just in terms of the guidance, are you able to provide any sort of color around how much the weather impact might have been? I know sort of early on, but just sort of a little bit of color relative to what might have been in the consensus?
Richard Thomson: Very preliminary Nick, but [ '20 to '25 ], which we have incorporated in the guidance figure we've given you.
Operator: Our next question comes from the line of Wade Gardiner of Craigs Investment Partners.
Wade Gardiner: Just a couple of questions from me. First of all, just following up on Andy's question around the outlook. Just putting it another way, the range that you've got, what is the bottom end of the range look like with regard to sort of the macro outlook, et cetera? What -- in other words, what would we have to see for you to hit that bottom?
Richard Thomson: Yes, Andy, it's a good question. It's all revenue related. So we've run a number of scenarios around what revenue could look like for the balance of the financial year. And we put confidence levels around that, which we've taken into account and giving the guidance, but at the lower end of the range, it will be $2.7 billion for the second half of the year with costs sort of roughly in line with what we've been assuming or forecasting so far. So I think what -- I think if your question is what might prompt that, obviously, it would be a slowdown in domestic demand where the booking curve is a bit shorter. So we've really got sort of 2, 2.5 months good visibility on that. And then just reiterating the comment I made before about May and June being notoriously difficult 2 months to forecast international weather for reliably. So at this stage, we're confident in sort of built the guidance range around that confidence level. But if you've got a slowdown in domestic in the last 2 months of the year were a bit weaker than forecast on international, that's where you'd end up towards the bottom of the range.
Leila Peters: And just to reiterate, we're not seeing any of that in our bookings to date, but it is just a sensitivity related to yields mainly into the fourth quarter of the financial year.
Wade Gardiner: Okay. Also just on the staff, I mean, you mentioned just before in response to the next question about getting to 10,900 by the end of the year. Is that where it flattens out longer term? Or are there more to be added beyond that? And where are the pinch points? I mean you mentioned airport workers, but where are you at with cabin-crew and pilots?
Gregory Foran: Yes. Wade, it's Greg here. It does basically flatten out at that point at this stage as best you can tell and see. In terms of pinch points, it is fundamentally airport workers. We're actually getting good recruitment still in cabin crew pilots, we're taking on as quickly as we can and moving them up through what we call the stove pipe engineering and maintenance is in pretty good shape. And if you want to break down airports, it's fundamentally Auckland. We're in pretty good shape around the rest of the country. I'd say, I think the team has done a pretty good job recruiting in what has been a particularly difficult market.
Wade Gardiner: And final question, just in terms of the revenue advance number that's on the balance sheet. I mean, it's high relative to pre-COVID levels which would make sense given where fares are. But are there other factors going on within that number rather than just fares? I mean does it relate to anything around the loyalty side or the length of the booking cycle?
Gregory Foran: No, the difference is largely held in credit, which the balance has come down materially over the course of the last year as people start using up credit, but it accounts for the difference relative to longer-term norms that you'd see in that figure.
Wade Gardiner: So where does the credit balance sit relative [ to a lot of that ] built up through COVID. Would you expect to see that go down further?
Leila Peters: Yes, Wade, we've seen a steady decline in the held in credit balance. That's in the revenue and advance account. But of course, as you've seen in our various announcements, we've extended the flexibility on usage of those credits as customers have struggled with various lockdowns through COVID and then recent issues with the weather events and, of course, a lot of very high load factors that we've experienced due to the high demand on our network. And so we provided quite a bit of flexibility and are seeing that steadily declined each month, but it is still, as Richard said, creating that elevated revenue advance number.
Operator: Our next question comes from the line of Andrew Steele of Jarden.
Andrew Steele: Yes. First one for me is just on RASK. It's clearly a period with very strong RASK growth, but also compared to pre-COVID, the mix of routes in the first half were quite different. Within the RASK improvement for 1H'23, how much of a tailwind or drag was mix within that RASK number?
Richard Thomson: It's a complicated question to answer, Andrew. Richard here. And the reason I say that is because the RASK that we've enjoyed over the first 6 months a year on long haul has been higher than we might have expected on the recovery. And so while typically you'd associate a great proportion of domestic flying with higher RASK and actual effect, the international markets are performing above the expectation at the moment. So probably it's a difficult question to one pick just simply on a phone call.
Andrew Steele: Well, maybe, Richard, just asking it in a slightly different way, on a like-for-like route basis, what was the RASK improvement this pre-COVID in the first half?
Leila Peters: Well, we have it in the -- Andrew, we have in the slides in the supplementary section you can see it compared to pre-COVID RASK by route group. As Richard said, of course, the standout is really long-haul as a result of the significant differential in capacity that we flew versus FY '19, but I'll address your attention to those slides. And Richard, you've got, I think, the high level numbers at your fingertips?
Richard Thomson: Yes, correct. I mean the domestic RASK to Greg's point before, is up actually much close to cost increases, sort of 20%, 25% RASK increases. Whereas in the international markets where capacity takes longer to recover. RASK has been considerably higher in those markets than there.
Leila Peters: About 45% on pre-COVID.
Andrew Steele: Just the next one for me is on cargo revenue. Looking ahead to the second half, what's your expectation in terms of cargo yield and cargo volumes sequentially with 1H'23?
Richard Thomson: Yes, the big -- so as we mentioned before, MIAC comes off at the end of March. Excluding MIAC, actually, volumes and yields have performed pretty much in line with our expectations for the first half of the year. The grade unknown, of course, Andrew is going to the impact of Gabrielle on particularly perishable exports over the second half of the year, and we are working through what the impact of that is likely to be at the moment and don't have sort of any further comment to add on that currently. It will have a negative impact.
Andrew Steele: Just to clarify, though, the -- I think in response to next question on the quantum of the impact on guidance that impact of cargo revenue is built into that number.
Richard Thomson: Yes, we've made a preliminary assessment of that impact.
Gregory Foran: Pricing has come down a bit. Volumes have come down a bit. We're seeing that across the globe.
Andrew Steele: Great. Just one last one from me. In terms of your comments regarding the Board would be considering a dividend at year-end. What are the key hurdles that they will be looking to meet to give them confidence to reinstate the dividend at year-end?
Gregory Foran: As we mentioned earlier in the call, clearly, liquidity and gearing is in good shape. So the focus really is on sustainable earnings and ensuring that once we commit to sort of reinstating a dividend that we want to do that on a sustainable basis, obviously. So it will be to earnings metrics, the quality of earnings and confidence in the medium term.
Operator: At this time, I would now like to turn it back to Leila Peters for closing remarks.
Leila Peters: [Technical difficulty]
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.